Presentation:
Operator: Thank you for standing by and welcome to the Star Bulk Carriers Conference Call on the First Quarter 2016 Financial Results. We have with us Mr. Petros Pappas, Chief Executive Officer; Mr. Hamish Norton, President; Mr. Simos Spyrou and Mr. Christos Begleris, Co-Chief Financial Officers of the Company. At this time, all participants are in a listen-only mode and there will be a presentation followed by a question-and-answer session. [Operator Instructions] I must advise you that the conference is being recorded today and we now pass the floor to one of your speakers today Mr. Pappas. Please go ahead.
Petros Pappas: Thank you, operator. I am Petros Pappas, Chief Executive Officer of Star Bulk Carriers and I would like to welcome you to the Star Bulk Carriers' conference call regarding our financial results for the first quarter of 2016. Before, we begin, I kindly ask you to take a moment to read the Safe Harbor statement on Slide Number 2 of our presentation. Let us now turn to Slide Number 3 of the presentation for a summary of our first quarter 2016 financial highlights in comparison to the same period last year. In the three months ending March 31, 2016 net revenues adjusted for non-cash items less voyage expenses amounted to $26.9 million, 14.9% less than the 31.7 million for the same period in 2015. Adjusted EBITDA for the first quarter 2016 was negative $7.3 million versus negative 5.6 million in the first quarter 2015. Excluding non-cash items and one-off expenses, our adjusted net loss for the first quarter amounted to $38.3 million or $0.87 loss per share versus 29.8 million adjusted net loss or $0.97 loss per share in Q1 2015. Our time charter equivalent rate during this quarter was $4,968 per day compared to 6,866 in the same quarter last year. Our average daily operating expenses excluding $1.5 million of non-recurring pre-delivery expenses were $3,591, a reduction of 19.1% compared to the Q1 2015 similarly adjusted figure of $4,439. As of June 24th, our total cash balance including restricted and pledged cash stood at $159.2 million. On the liability side, total debt as of the same date stood at $984.3 million, based on the above our net debt was $825.1 million. During the quarter, we had an impairment loss of $6.4 million impacting our results 5.6 million of which was for one vessel sold and $0.7 million from the termination of two shipbuilding contracts during the quarter. Having said that I will now pass the floor to our Co-CFO, Simos Spyrou, for an update on our operational performance for the quarter.
Simos Spyrou: Thank you, Petros. Please turn to Slide 4 where we summarize our operational performance for the first quarter 2016. In this difficult market, we take a disciplined and focused approach in order to have low breakeven rates and continue to be one of the lowest cost drybulk operators. We believe that the combination of our in-house management abilities and the scale of the group provide us significant operating leverage and advantage in terms of cost and quality. On the left hand side, you can see that we have improved our average daily OPEX to $3,591 per vessel in the first quarter of 2016, a significant reduction of 19.1% compared to one year ago. In the middle, you can see that over 91% of the vessels managed by Star Bulk have a maximum rating of five stars by Rightship. We are very focused on having the highest standards of vessel maintenance, safety and operation and over the past five quarters, we have been able to increase the percentage of vessels under management that have the highest rating from 84% to 91%. Our fleet is maintained in good condition to meet the requirements of our strictest and most demanding clients. On the right hand side, you can see the evolution of our average daily net cash G&A expenses per vessel. Our expenses per vessel are similar to the first quarter 2015 at $1,148 per vessel per day. The reduction of our daily operating expenses and our daily G&A expenses results from the economies of scale of a larger fleet, as well as the disciplined and dedication our employees have shown with respect to cost control. Slide 5 shows that Star Bulk is one of the lowest cost operators among U.S. listed drybulk peers based on latest available public information. There is a clear trend of cost containment throughout the industry and Star Bulk is one of the leaders in this development with operating expenses approximately 26.5% below the industry average. We will continue to be vigilant on the cost side in order to remain competitive but as expected, we have achieved most of the available cost savings already at this stage by having reviewed and renegotiated agreements with suppliers and service providers. Please turn to Slide six, where we provide an overview of our remaining CapEx going forward. We have taken delivery of the majority of our newbuilding vessels and we currently have a fleet of 70 vessels in the water. There are five Newcastlemax vessels that we are due to take delivery by early 2018, three in 2017 and two in the early 2018. There are no other deliveries due in 2016. Four of the five vessels have variable financing with fixed debt amount with no [indiscernible] or drawdown. The Q3 2017 delivery is the only vessel with an [indiscernible] there will be very little equity to be paid to take delivery of the remaining vessels. Having said that I will now pass the floor back to Petros for a market update and his closing remarks.
Petros Pappas: Thank you, Simos. Please turn to Slide seven for a brief update on supply. During the first six months of 2016 the drybulk fleet has grown by 0.7%, a total of 27.5 million deadweight was delivered and 22.5 million deadweight was sent for demolition for a net increase of 5 million tonnes. Limited ordering, cancellations and conversions have helped trim the drybulk order book slightly below 15% from 21% during the same month last year. Drybulk contracting, if we exclude the 30 Valemaxes has been minimal with a total of 270,000 deadweight order the year-to-date. This is a positive development that is likely to support high levels of delivery slippage during the rest of 2016 and ’17. We expect as a result full year net fleet growth to decrease slightly below 1.5% during 2016 and below 1% during 2017. Let’s now turn to Slide 8 for a brief update of demand. Drybulk trade flows during the first months of 2016 experienced a strong correction mainly as a result of global destocking, decrease in commodity prices and steel production cuts. These led the bulk [indiscernible] to reach a historical low on February 10th. On a positive note, after more than two years of strong declines commodity prices appear to have reached the bottom during the first quarter of 2016. We expect that the ongoing monetary in the system stimulus taking place in China will boost steel consumption in the medium-term. As a matter of fact house prices and building permits have been recording healthy increases during the first half of 2016. Furthermore, we find very encouraging that both iron ore and coal production in China are reported to have recorded strong declines during the first month of 2016. This has been the result of supply side reforms such as the 276 work day restriction on coal mining that came into effect a few months ago. China national [indiscernible] recently reported a core production during May was down 15.5% year-over-year. Coal stocks at Chinese ports and power plants also stand at very low levels, meaning that imports would experience a small recovery during the next 18 months. According to Clarksons, total dry bulk trade growth during 2016 is projected to stabilize and experience a marginal increase between 0.5% and 1%. From the middle of 2017, we expect iron ore, coal, bauxite and grain ton-miles to increase substantially, due to an increase of Brazilian iron ore and West Africa bauxite exports, a reduction and substitution Indonesian coal exports and healthy grain demand from the Pacific. We believe the first half of 2016 will go in record as the most challenging period in drybulk history. Despite the recent improvement in rates, we highlight once again that the most important factor for market balance is on its supply response. Absence of ordering and increased demolition is gradually putting a hat on fleet growth for the next couple of years and is creating the foundation for a sustainable recovery to take place sometime in the not too distant future. Without taking any more of your time, I will now pass the floor over to the operator to answer any questions you might have.
Operator: Thank you very much indeed gentlemen. [Operator Instructions] And our first question from JP Morgan comes from the line of Noah Parquette. And your line is now open sir.
Noah Parquette: Thanks. I wanted to ask a little about your opinion on scrap rate, we saw a great Q1 in terms of scrapping so that's fallen off a decent amount since. Can you talk about why you think that is, if that is a change in sentiment or is that people talking about monsoon season? Is there anything temporary there? I just want your view on scrapping through the rest of the year.
Petros Pappas: Thank you, Noah. It is both I think it is in a way temporary because of the monsoon season. But if you look at last year’s scrapping the way scrapping went last year there was a lot of it in the first half and much less in the second half. So, depending on people's expectations we will also see how scrapping moves. I think that probably scrapping in the second half of the year will reduce in comparison to the first half, but it will depend a lot on how rates go, if rates are strong scrapping will slowdown.
Noah Parquette: Okay. That's helpful. And then in terms of the shipyards you have kind of had a lot of discussions with them. What's your view on how much of the order book you think just doesn't get delivered? How much shipyard capacity may be going forward will we lose? What's your view after these discussions?
Petros Pappas: We think about perhaps 10% to 15% of shipyard capacity might not be delivered. And half the capacity might be delayed, this capacity won't be delivered will be almost entirely coming from second or third rate Chinese yards. It's difficult to say because vessels that have are almost complete at some point they will be completed fully and they will get back into the market. But also this delay factor has a positive effect as well. So, I would say let's say about 10% never to be delivered, a percentage which I don't know what we would be that will delay in the ship in the water and that is about it.
Noah Parquette: Okay. And then just lastly, you mentioned about the substitution from Indonesian coal, one thing we saw was India taking coal from South Africa which helps ton-miles. Any other trade ups ships that you are seeing that are expanding ton-miles because of this?
Petros Pappas: You mean on the coal side?
Noah Parquette: On the coal side, yes.
Petros Pappas: Well, what we're seeing is that Indonesia is supposedly going to cut exports by about 50% going forward because of needs for domestic consumption. We think that China has raised its bottom of -- I mean the downside of Chinese coal imports have reached their bottom. And we think that China will be obliged to import this coal now mostly from South Africa, Australia and probably also Colombia especially with the new Panama Canal coming into play.
Noah Parquette: Okay. That is all I had. Thank you.
Petros Pappas: Thank you.
Operator: Thank you very much indeed sir. Now your next question from Deutsche Bank comes from the line of Amit Mehrotra. And your line is now open sir.
Amit Mehrotra: Yes, thank you operator. Good afternoon, everybody. First question just for Christos or Simos, can you just give us the scheduled debt repayments I guess between your last disclosure was June 24th at the end of the year, I know there is a standstill but just so I understand what we're looking at further prospectively. I think it was 100 million annually and just over 60 million of balloon payments at the end of the year which I think may be refinanced. But Christos may be if you can or Simos can you update us on that?
Simos Spyrou: Sure. First of all we have signed documentation on the effectively refinancing of the two balloons in September and October ’16 we have moved them now to September and October 2018. So, that's done. As you correctly said Amit our annual principal repayments are around 95 million. And obviously since the first of June as we have announced we have the standstill agreement and therefore we have not made any principal debt repayments since the first of June.
Amit Mehrotra: Right, but what were the principal repayments between January 1st and the first of June?
Simos Spyrou: The remaining amount from June 1st to the end of the year is 61 million so you get the price…
Amit Mehrotra: It was the opposite pricing Simos.
Simos Spyrou: Yes.
Amit Mehrotra: The principal payments from the beginning of the year through [Multiple Speakers].
Simos Spyrou: That was for what I am trying to say Amit. So, we have remaining 61 million so you can do the difference.
Amit Mehrotra: Got you, okay, great. Thanks. So 39 million between January 1st and June 1st, okay and then Christos the or Simos sorry the 192 million of committed debt financing, I’m pretty sure that that’s the actual amount that you expect to derive opposed to just what’s available. And I’m just trying to understand what type of asset value is underlying that expectation, and if there is any risk there may be some more equity may be needed based on asset value assumptions that will be ultimately proved too high. So I’m just trying to understand how much conservatism there is baked into that.
Simos Spyrou: So Amit what we have on Page 6 of the presentation is actually the committed debt. As we said during our presentation out of these five vessels, four have essentially fixed financing and therefore there is no extra equity that will be required. Now the fifth one is again it is a Newcastlemax that is delivering in July 2017. We may see sort of and have a 60% loan-to-value financing, so depending on where the value is today, we may need more equity than what is currently here. However, this is only on one vessel.
Amit Mehrotra: Right, okay so pretty small, got it and then the sorry for all these detailed questions, but the additional net cash proceeds from assets sales I think you had like 20 million or something based on the last disclosure, is that now fully baked into the June 24 cash balance?
Hamish Norton : Correct.
Amit Mehrotra: Okay, it is great. And let me just ask a couple of more bigger picture questions. As you guys negotiate with your banks for temporary debt relief, is there any good reason for us to basically think that you guys can achieve that without the need for additional equity capital because that’s really not been the case for pretty much all the drybulk companies, a lot of the temporary debt release has been contingent on new equity financing. So is that something that you guys think you can achieve essentially not having to further, yes?
Hamish Norton : Yes, Amit I think obviously nothing is set in stone because if it was set in stone we would have made an announcement, but if we have to issue equity it’s going to be very manageable and I would expect frankly despite the fact that I am telling people that it is a positives surprise, then it would be a positive surprise. We are getting substantial credit for the fact that we issued more equity than any of our peers issued last year and that our balance sheet is in better shape than the balance sheet of many of our peers. And so while again I reemphasize that nothing is set in stone, our expectation is that if we have to issue any equity, it’s going to be a smaller number incrementally than you’ve seen in our recent situations but that’s frankly because we issued so much equity last year.
Amit Mehrotra: Right, and I wanted to follow-up on that Hamish because based on Petros’ comments and the press release about runway to 2019, I mean given the capital structure today and given the amortization schedule and given the operating cash put in the first quarter which I assume is much lower if not neutral in the second quarter and now we’re at the end of the second quarter here. How much liquidity or essentially push back of cash calls do you think you guys need in terms of order of magnitude to get you to that 2019 runway just so we get an understanding of what you guys are trying to do here?
Hamish Norton : Well again I don’t want to be disclosing more than we know for sure I mean obviously as I said before nothing is set in stone but it’s in everybody’s interest and I think all of our lenders understand this for us to have a runway that gets us well into 2019 and more cash on the balance sheet is not necessarily required to make that happen.
Amit Mehrotra: Right.
Hamish Norton: But when we’ve got an agreement with everybody we’ll announce it and hopefully it won’t take that much time.
Amit Mehrotra: Okay.
Hamish Norton: But I think everybody is shooting for something that gets us well into 2019.
Amit Mehrotra: Got you, okay well good luck on that. Let me just you one operational related question on the OpEx because obviously that is super impressive number. I am just trying to understand how that was achieved because if you look at the own fleet and the average days they grew by mid to high single-digit percentages and the OpEx actually was down about $3 million year-on-year and down about $1.5 million sequentially. So I am just trying to understand the major buckets that may be drove that absolute dollar reduction and trying to understand that if that’s a sustainable level or if it can go even lower?
Simos Spyrou: Amit that isn’t a major bucket what we’re doing here is we are organizing the company continuously, we go at every sector and revisit the ways we do our procedures. We go to suppliers and negotiate nothing is set in stone to borrow Hamish’s term. And every three months or so, we’re back and discuss and the size of the company helps a lot. And our drive to do better helps even more and it’s not just operating expenses, it is also voyage expenses. OpEx is one thing, voyage expenses is another thing. Like for example disbursements stop stuff like that. We are looking at every facet of the business trying to do better every time. I think the fact that the dollar was stronger help us in that respect. But in general, we are in continues motion, we don’t sit back and enjoy the previous success that we had on that sector.
Amit Mehrotra: Right. One last question for me. One thing I noticed that there was a pretty large working capital reversal and I think a lot of shipowners, drybulk shipowners, excuse me tried to maybe stretch their payable as much as possible rightfully so with their suppliers. Can we expect essentially this past quarter, the first quarter was kind of the reversal of that and now the start to new cycle maybe of some working capital build and that could be some source of cash during the next couple of quarters?
Simos Spyrou: We would expect with some allocates.
Petros Pappas: Okay. Yes, I was going to say and Christos should amplify. But some of that is better pricing for prompt product payment and some of our reduction in operating costs is a result of better pricing for prompt payment and Christos why don’t you answer.
Christos Begleris: And just not to that, we will expect basically payables to remain at the same levels going forward. So we wouldn’t expect any major movements.
Simos Spyrou: And Amit, we pay on time and that’s part of why, we get better prices.
Amit Mehrotra: Right, okay, guys. Thank you very much, best of luck in the negotiations. I appreciate it.
Simos Spyrou: Thank you.
Operator: Thank you very much indeed, sir. Now from Clarksons Platou you now have a question from the line of Omar Nokta. And your line is now open sir.
Omar Nokta: Hi, thank you. Actually, I was going to ask about the bank agreements and see what if they contemplated. But I figure it is probably not appropriate for you to give specifics on that as I read form the response to Amit’s questions.
Petros Pappas: Yes. That’s right Omar, I mean look we want let everybody know precisely what our agreement is as soon as we have a final agreement and we hope that doesn’t take too much longer.
Omar Nokta: Yes. But just, I guess just a quick, I do have one other question and it’s regarding the vessels sales. So you guys obviously are very active late last year beginning of this year. And peers if I am reading this correctly you basically delivered all the ships, all the vessels now that you’ve agreed to sell have been sold and delivered you now stand with 70 ships post the five newbuildings. Where are you guys now, we’ve seen obviously some improvement in asset prices. Do you see any further sales on the horizon?
Petros Pappas: Omar, the plan for now is to only, to basically sell older vessels. If we see that they cannot be operated well maybe if there are drydocks are coming up perhaps on an older vessel there is no need to go through a couple of million dollars idle expense, but that’s the plan. Now if prices go further up in the future, I mean we are in a fluid market nobody knows.
Omar Nokta: Yes. Okay. That’s it for me. Thank you, guys.
Petros Pappas: Thank you.
Operator: Thank you very much. Now from Arctic Securities your next question comes from the line of Erik Stavseth. And your line is now open sir.
Erik Stavseth: Hi guys. Just a question on the value to loan ratios you have. Could you give any indications of either the amount either get back into the lower end of the compliance of those ratios or could you comment on where those ratios are today?
Petros Pappas: Well obviously valuations are quite subjective in this volatile market. But our corporate loan to value Erik was at around 80%, which obviously it’s high than the 70% ratio that we had this has been waived as part of the standstill agreement. And to obviously part of our negotiations with our banks is to either wave or substantially relax certain covenants for a certain period in the future.
Erik Stavseth: Right, and then that was loan to value right, loan to vale was [Multiple Speakers].
Petros Pappas: And just to clearly answer your question, I mean we are in compliance at this moment with all of our covenants some of which has been amended due to the standstill.
Erik Stavseth: Right, right.
Petros Pappas: But we have no amounts due to put ourselves in compliance.
Erik Stavseth: And there was loan to value that was, have been obliged a loan as you have stated in the 20F right loan to value 80%?
Petros Pappas: Correct.
Erik Stavseth: Thank you. Okay. That's all. Thank you.
Operator: Thank you very much indeed sir. [Operator Instructions] And your next question from [indiscernible] Associates, comes from the line of [Nick Brand]. And your line is now open sir.
Unidentified Analyst: Hi. Thank you for taking the question. A quick question on the three vessels that you sold in April and may be one in May, you mentioned in your press release that you have got prepayment in the first quarter on at least two of those vessels. Were there more proceeds from those vessel sales received in Q2 and if so how much was received?
Petros Pappas: Hi [Nick] the cash balance that we have actually put in our presentation that these as of June 27th includes basically all the proceeds that we have received during the second quarter from vessels that were committed to sale as of the first quarter. We have now no more vessels to deliver to new owners. So, the cash balance basically net of [falls in] proceeds.
Unidentified Analyst: Okay perfect that answers my question. Thank you very much.
Operator: Thank you very much indeed. And at this point gentlemen there are no further questions. So, I will pass the floor back to you for closing remarks.
Petros Pappas: Just one thing I want to say. I believe that in a year or a year and a half from now we will see a better market as far as ton miles are concerned in various sectors like coal as we already discussed, iron ore because we see that Brazil is going to be exporting many more tons probably more than 100 million tons starting as of mid ’17. And Australia has much less to export in addition to what it's already exporting and that is a major factor in the market it's more important than tons, ton-miles it should be more important than tones. And then we think that there is going to be much more trade in bauxite because Indonesia again is curtailing their exports in bauxite and we’d probably see it coming from Africa. And we think there is going to be more grain trade which by definition is long ton miles. So, we believe that the upturn of this market is going to start from that sector more than anything else. Of course restrained by owners on ordering is very important and the scrapping more is important. As I said I am not sure how the second half is going to fair. I think this year there is going to be more scrapping than last year I don't know by how much. And oil prices are important because if it stays around $50 versus $30-$35 that we were seeing last year will probably contribute in slowing down vessel speeds. And we see China looking more towards infrastructure and we see more housing permits starting up, so we think that there are reasons why we should be looking at a better future. However, as we said more strain on ordering and more scrapping this is going to be the key of a better market in 2018. Thank you very much operator.
Operator: Thank you very much, so with many thanks to all our speakers today, that does conclude the conference. Thank you for participating. And you may now disconnect. Thank you, gentlemen.